Operator: Good day, and welcome to the RPM International 2026 First Quarter Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Matthew E. Schlarb, Vice President of Investor Relations and Sustainability. Please go ahead.
Matthew E. Schlarb: Thank you, Chloe, and welcome to RPM International's conference call for the fiscal 2026 first quarter. Today's call is being recorded. Joining us today are Frank C. Sullivan, RPM's Chair and CEO, Russell L. Gordon, Vice President and Chief Financial Officer, and Michael J. Laroche, Vice President, Controller, and Chief Accounting Officer. This call is also being webcast and can be accessed live or replayed on the RPM website at www.rpminc.com. Comments made on this call may include forward-looking statements based on current expectations that involve risks and uncertainties, which could cause actual results to be materially different. For more information on these risks and uncertainties, please review RPM's reports filed with the SEC. During this conference call, references may be made to non-GAAP financial measures. To assist you in understanding these non-GAAP terms, RPM has posted reconciliations to the most directly comparable GAAP financial measures on the RPM website. Also, please note that our comments will be on an as-adjusted basis and all comparisons are to 2025 unless otherwise indicated. We have provided a supplemental slide presentation to support our comments on this call. They can be accessed in the Presentations and Webcast section of the RPM website. As a reminder, certain businesses that were previously part of the Specialty Products Group have been reallocated to other segments effective June 1, 2025. As a result, all references today reflect the updated structure and prior year figures have been recast accordingly. This change has no impact on consolidated results. With that, I would like to turn the call over to Frank.
Frank C. Sullivan: Thank you, Matt, and good morning. I will start the call with a high-level overview of our first quarter results, followed by Michael J. Laroche, who will cover the financials in more detail. Matt will then provide an update on cash flow and the balance sheet, and provide some details on our Industrial Coatings Group. Russell L. Gordon will then conclude our prepared remarks with our outlook for the second quarter and fiscal year 2026. As always, we will be happy to answer your questions after our prepared remarks. Looking at Slide three, the pivot to growth I discussed over the last few quarters was on full display with organic revenue growth complemented by the successful integration of strategic acquisitions. All segments achieved record quarterly sales and generated 6% growth or better in what continues to be a challenging macro environment. All three segments increased adjusted EBIT to achieve another record quarter for RPM, thanks to the sales growth and MAP 2025 benefits, which offset several other profitability headwinds. The first quarter represents the fourteenth time in the last fifteen quarters we have achieved record adjusted EBIT. This is a credit to our associates who are focused on realizing the power of RPM by leveraging our entrepreneurial spirit to grow sales while continuing to work to find new ways to operate more efficiently. Next on slide four are examples of the key factors that allowed us to achieve record results in the first quarter despite the challenging demand backdrop. These include turnkey offerings in roofing and flooring, where we both supply and apply the product, a competitive advantage in a labor-constrained construction market. Customer-focused new product introductions, strategic M&A in core categories as well as new adjacent categories, engineered solutions that meet and exceed the demanding specifications of building projects in areas such as infrastructure, data centers, schools, hospitals, and pharmaceutical manufacturing. System selling that offers comprehensive solutions for all six sides of the building envelope, a focus on repair and maintenance, which offers a compelling value proposition and where demand is less volatile than new construction, hiring additional sales and sales support staff across our Construction Products Group and Performance Coatings Group segments in contrast with many of our competitors, and continuously implementing efficiency initiatives built on the legacy of our MAP to Growth and MAP 2025 achievements. These include the consolidation of six facilities currently in process. Over the last six to nine months, we have been talking about a pivot to growth in a frustratingly no-growth environment. To make a pivot to growth, we recognize that we would have to do some things differently. Today, we are doing many things differently, while most of our competitors are responding to the no-growth environment by cutting costs, reducing headcount, and suspending benefits. We are expanding sales associates and support staff with $5.3 million in additional spending in Q1 over the prior year of new employees in this area. We are increasing advertising, especially in our continuing to be challenged consumer business with year-over-year advertising up $3.2 million, and we are rebuilding our M&A pipeline with $2.1 million of higher acquisition-related costs in Q1, while we are maintaining all of our benefit programs, including our 401(k) match, which is roughly the equivalent of $0.06 per share per quarter. These growth investments are having the desired outcome with unit volume growth in our Construction Products Group up 4% despite negative construction market dynamics, and unit volume growth up 8% in our Performance Coatings Group, pretty remarkable in any environment. These self-help measures have been drivers of our recent results and remain critical elements of our coming success. I'll now turn the call over to Michael J. Laroche to cover the financials in more detail.
Michael J. Laroche: Thank you, Frank. On Slide five, consolidated sales increased 7.4% to a record with a nice balance between organic and M&A growth. Key drivers included items Frank just mentioned, led by systems and turnkey solutions for high-performance buildings, and a focus on maintenance and repair. Q1 adjusted EBIT increased 2.9% to a record as volume growth allowed us to leverage MAP 2025 initiatives and overcome headwinds from higher raw material costs and temporary cost inefficiencies from plant consolidations. SG&A as a percentage of sales increased, and was due to higher healthcare costs, which was up $8.8 million over the prior year, higher M&A expense, as well as investment in growth initiatives. First quarter adjusted EPS was a record $1.88 driven by adjusted EPS improvement or adjusted EBIT improvement partially offset by an increase in interest expense resulting from higher debt levels from acquisition financing. Moving to our geographic results on Slide six. Growth was led by Europe, which benefited from acquisitions and favorable FX. North America grew 5.9%, driven by systems, and turnkey solutions for high-performance buildings. Performance in emerging markets was mixed, with strength in Africa and the Middle East driven by infrastructure and other projects with pending specifications. Segment results begin on slide seven. Construction Products Group sales increased to a record driven by systems and turnkey roofing solutions serving high-performance buildings and infrastructure projects. This was partially offset by softness in Europe and the disaster restoration business as increased demand last year related to hurricane activity did not repeat. MAP 2025 and higher sales drove the record adjusted EBIT, which was in addition to strong growth in the prior year. This was partially offset by temporary inefficiencies from plant consolidations and SG&A growth investments. Performance Coating Group is on Slide eight. The segment achieved record sales with broad-based strength in turnkey flooring, protective coatings, and specialty OEM. Acquisitions also contributed to the sales increase. Adjusted EBIT was a record driven by higher sales and MAP 2025 benefits partially offset by growth investments and unfavorable mix. These record results were in addition to strong growth in the prior year. On Slide nine, the Consumer Group sales increased to a record as a result of the successful integration of the Pink Stuff and Ready Seal acquisitions. DIY demand remained soft, and product rationalization also had a negative impact on sales. Adjusted EBIT increased driven by acquired businesses with accretive margins and MAP 2025 benefits, which were partially offset by cost inflation, reduced fixed cost utilization from lower volumes, temporary inefficiencies from plant consolidation, and increased marketing expenses. I'll turn the call over to Matt, who will cover the balance sheet, cash flow, and the Industrial Coatings Group.
Matthew E. Schlarb: Thank you, Mike. Two key hallmarks of our MAP 2025 program have been improved profitability and working capital efficiency. These have enabled us to enter fiscal year 2026 with a strong balance sheet even after having the largest year of acquisitions in the company's history in fiscal 2025. We utilized this strong financial position in the first quarter to acquire Ready Seal, a leader in exterior wood stains. This easy-to-use product strengthens our offerings in this category and demonstrates our focus on expanding in core and adjacent markets. Although we have increased our M&A activity, our balance sheet remains healthy with low leverage ratios and liquidity of $933 million at the end of the first quarter, which positions us to take advantage of future strategic opportunities. During the first quarter, we also returned $82 million to shareholders through dividends and share repurchases. CapEx increased $11.7 million from the prior year driven by growth investments including the purchase of RPM's recently constructed Malaysia plant. Inventory increases were driven by strategic purchases to mitigate the impact of future tariffs and ensure high service levels during plant consolidations, partially offset by MAP improvements. Now, on slide 11, I would like to provide some background on a business that has benefited from increased collaboration and growth investments. Industrial Coatings Group or ICG. This business recently joined our Performance Coatings Group and sells a variety of products to multiple markets, including powder and liquid coatings for metal, high-end wood finishes, protective coatings for pleasure, marine, and recreation, and wood preservation. Several of the markets they serve have been under pressure for the past several quarters, particularly those tied to housing. ICG organically grew revenues high single digits in the first quarter, despite these challenging markets. This was achieved through investments in new salespeople and improved collaboration among its businesses, which has allowed it to build on its legacy of high technical service levels and customer support. Additionally, customer-focused innovation is accelerated thanks to investments in collaboration at RPM's Innovation Center of Excellence, which opened in 2023. The Innovation Center also allows us to better demonstrate the high performance of ICG's products to customers. Going forward, ICG has additional collaboration opportunities with other high-performance coatings companies within RPM in PCG in areas like R&D and shared service facilities. They also continue to invest in training and development of salespeople and new products to grow share in existing markets and expand into adjacent areas. Now I'd like to turn the call over to Rusty to cover the outlook.
Russell L. Gordon: Our second quarter outlook can be found on Slide 12. We expect another quarter of record sales and adjusted EBIT led by systems and turnkey solutions serving construction projects with demanding specifications as well as a focus on repair and maintenance. Acquisitions will also benefit growth in the quarter. We have also taken actions to address two of the larger profitability headwinds we experienced in the first quarter. First, we have taken SG&A streamlining actions including those enabled by the structural shift from four segments to three. Secondly, we have implemented pricing actions to recover the impact of inflation including significant increases in metal packaging and niche products produced primarily in Asia, which we expect will continue to rise in the coming quarters. Overall, we expect consolidated sales and adjusted EBIT to both increase by mid-single digits in the quarter. By segment, consumer is expected to grow sales moderately more than PCG and CPG, due to acquisitions. Moving to our full-year outlook on slide 13. We expect sales to be at the high end of our previously announced low single to mid-single-digit growth range. As we benefit from previous growth investments and acquired businesses. As Frank mentioned, we are continuing these investments and in some cases, increasing them to accelerate our pivot to growth. These investments will add to SG&A for the full year and include reallocating existing SG&A spend to the highest growth opportunities. We also expect to continue benefiting from several of the self-help measures Frank discussed. From a macro perspective, many of the trends we experienced in the first quarter, particularly those related to economic uncertainty, are expected to persist through the fiscal year. Taking all this into account, we anticipate adjusted EBIT will grow toward the lower end of our previously announced outlook of high single-digit to low double-digit growth. That concludes our prepared remarks, and we are now happy to answer your questions.
Operator: We will now begin the question and answer session.
Michael Joseph Sison: The first question comes from Michael Sison with Wells Fargo. Please go ahead.
Michael Joseph Sison: Good morning, Mike. Hey, guys. Great start to the year. Hope your investments have been as good as the Guardians. But Frank, just when you think about the outlook for this year, and being at the lower end, how much of that was due to your investments for growth and how much of that was maybe due to weaker demand?
Frank C. Sullivan: So in our case, I think the investments to growth are delivering the desired outcome, which is higher levels of organic growth than is really being exhibited in the marketplace. I outlined in my prepared remarks about $10 million of higher year-over-year quarterly spend: $5.3 million on new hires in sales and sales associate areas, particularly companies like Tremco Sealants, Tremco Roofing, Stonehard, the ICG businesses that Matt talked about. $2.1 million in higher M&A expense, we've got a bigger pipeline. We're starting to see some better opportunities exhibited by the recent acquisitions we've completed versus what was a pretty quiet acquisition period during our MAP initiatives and $3.2 million of higher advertising, mostly in consumer, despite what continues to be a challenging environment there. And then the last area that Mike highlighted on, which was disappointing, was an $8 million higher expense for healthcare costs in the quarter versus the prior year. So those were the primary drivers of the lack of leverage to our bottom line. $10 million of it aside from healthcare costs, are very deliberate, and they're having the desired outcome. And you'll see that continue. The spending that we've been doing and are doing now should serve us well in the coming quarters.
Michael Joseph Sison: Got it. And a quick follow-up for the consumer group, the organic growth was down 3%. It feels like the industry is weaker. Do you have any thoughts on where you think industry demand is for the consumer group? Is it down a little bit worse? And are you picking up share? Maybe minus 3% is some evidence that your business is a little bit more stable than wall paint or the small projects. And any thoughts for kind of industry growth for the consumer group for the rest of the year?
Frank C. Sullivan: Sure. I do think that our consumer group is outperforming the broader industry. It's a challenging environment and has been that way for more than a year and a half. And those challenges continue. We're picking up share in some new categories. We've introduced a low odor, water-based, spray paint, which is getting new shelf space. We're picking up share in some different accounts. And we're adding meaningfully in the cleaner category. The pink stuff very importantly, puts our consumer group into the consumer products categories of cleaners where historically our cleaners have been all Rust-Oleum based and really hardware store paint aisle type of cleaners. So we're very excited about that. It opens up new channels that we haven't served before, grocery, dollar stores, things like that. And it opens up new geographies. It's a global brand. And so notwithstanding the challenges in the North American consumer markets, we are leaning into finding opportunities for growth in other areas.
Michael Joseph Sison: Great. Thank you.
Operator: The next question comes from Michael Joseph Harrison with Seaport Research Partners. Please go ahead.
Michael Joseph Harrison: Good morning, Mike. Hi, good morning. I was hoping that maybe you could give us a little bit more detail on the increased marketing spend in the consumer segment. It sounds like most of that is advertising, but is there some additional promotional spend or other maybe other categories of marketing? And can you also get into any specific product lines that have been a focus of that additional advertising or promotional spend?
Frank C. Sullivan: Sure. So it's been higher advertising, versus the past disproportionately more social media e-commerce as opposed to TV advertising. We have focused a larger share, as you would imagine, in the cleaners category. And part of it is the pink stuff spend as well. And so those are the principal areas where you're seeing higher spend in the consumer area and advertising.
Michael Joseph Harrison: Right. And just to clarify there, the additional spend associated with pink stuff, is that just an acquisition contribution, or are you expanding advertising beyond what Pinkstuff brought just as an acquisition?
Frank C. Sullivan: It is both.
Michael Joseph Harrison: Got it. Okay. And then my second question is was hoping that you could help in understanding the impact of manufacturing inefficiencies. I don't know if there's a way to quantify that impact from plant consolidation in Q1. But I believe you called that out in Q4 as well. And I'm just curious, can you help us understand if that's increased versus Q4? And as we look at Q2, should the inefficiencies impact decline a little bit or could it worsen? Just helping us understand that trend, I think would be very helpful. Thank you.
Russell L. Gordon: Hi, Mike. It's Rusty here. To answer your question, yes, we do have six plant consolidations in process. So there is some duplicative costs as we transition from one facility to another. So during the first quarter, there was about $10 million of unfavorable year-over-year conversion cost and unfavorable absorption that occurred. And we would continue to experience those, we believe, in the second quarter as consolidations continue.
Frank C. Sullivan: I'll just add a little color to that. One example, Tremco's previously largest North American manufacturer facility was in Toronto. Thirty years ago, we were in the sticks. But as Toronto grew up, we became surrounded by residential. And so really, forced out of there, sold that building with a five-year window to get out. And so we are in the process of transferring that manufacturing from the Toronto facility to other parts of the U.S. And it's increasing inventory investment as we shift from Toronto to three other sites actually in North America. And also, as Rusty mentioned, some duplicative costs. There's a couple of other plants like that, but that's the biggest example.
Michael Joseph Harrison: Very helpful. Thank you.
Operator: The next question comes from John Patrick McNulty with BMO Capital Markets. Please go ahead.
John Patrick McNulty: Yes, thanks for taking my question. Good morning, Frank. So question on the top line, the organic growth in construction and performance was really kind of standout. And you gave a little bit of color on it, but can you drill down into some of the subsectors or end markets that are really driving that? And then how does the backlog look going forward for those respective businesses? Because it does seem like maybe on the guide, you're a little bit more conservative than the numbers that you just put up in those businesses.
Frank C. Sullivan: Sure. As I mentioned, we are leaning forward very aggressively in terms of expanding sales forces and sales associates. In construction products, some of it's along some of the product lines we've added. In Tremco roofing, we continue to see a solid backlog in terms of their reroofing, institutional roofing projects. But we acquired Pureira a couple years ago. It took us quite a while to get certified in every state. And really train up our sales force on that refurbishment of big, industrial and commercial HVAC units. We're starting to see sales take off in that category. WTI, which is our contracting both repair and maintenance, then actually doing the whole supply and apply of major reroofing projects has grown actually faster than our material sales. It's a negative to our gross profit mix. But a positive to overall profitability and growth. So those are the areas there. In our Tremco sealants business, our lasers and construction products are driving a one Tremco approach. So we are starting to see sales reps both in sealants and roofing benefit each other with referrals. And then lastly, in Tremco sealants, we are pursuing a much more aggressive approach to the entire wall. If you go back fifteen years ago, we were selling gaskets and wet sealants into windows and door openings. Today, we're selling much a bigger portion of the sidewall building envelope panelization, panelized eaves, ICF, Nudura, and so that is helping our sales as well as we are getting a bigger share of wallet of a wall system versus those higher-end niche sealant products that were the tradition. I'll tell you one great example of that. Ten years ago, Tremco sealants was about 40% project-based, in other words, project specifications and about 60% traditional distribution. So, basically, our sealants, Vulcan, and other things being sold into commercial and industrial and some residential markets through distribution. Today, we are 60% project-based. And only 40% distribution. That distribution is where the impact of pretty punky construction markets dynamics is being felt. And it's being more than overcome by project specifications that driving today and are and really a flip of that project versus distribution model.
John Patrick McNulty: Got it. Okay. No. That's, that's helpful. And the Performance Coatings Group, I guess, same question because it does seem like that one the organic growth really really kind of spiked up there.
Frank C. Sullivan: Sure. So our Stoneheart business has been very aggressive in both efficiencies and hiring salespeople to drive greater sales. It's been effective and that's been the purest play ad sales reps effectively modeled within RPM over the last couple of years. Our Industrial Coatings Group is really outperforming. Part of it is a couple of years of underperformance because of how much they do that touches housing. So windows, doors, cabinets, things like that. But, traditionally, whether in powder coatings, metal coatings, we have played in the small to medium-sized, low volume, high service areas. And we have been adding salespeople and capabilities to start competing and winning. Larger accounts. For instance, this past year is the first time we have ever sold a project to John Deere. So we are starting to move upstream in competing effectively in some of the larger accounts, and you can see that in our numbers as well.
John Patrick McNulty: Got it. Thanks very much for the color. Thanks.
Operator: The next question comes from David L. Begleiter with Deutsche Bank. Please go ahead.
David L. Begleiter: Thank you. Good morning. Good morning, David. Frank, just looking at the guidance back in July versus today, the full year, what's changed to cause you to go to the lower end of that range? Versus your assumptions back in July?
Frank C. Sullivan: So a couple of things. One, we continue to see challenging dynamics in the gross profit margin. We've held up our gross profit margin in Q1 but some of that's mix. In consumer, we got a higher gross margin mix out of the pink stuff, for instance. And so the uncertainty around tariffs remains. We knew we were gonna be making and have been making these investments in growth. I think the biggest surprise to us in the quarter was the healthcare costs increase. That's driven by a couple of particular, high-cost cases. And also the fact in the first six months, we've had about a $6 million, this is six months now, not quarter, over the last six months, a $6 million hire increase for coverage in a lot of these weight loss drugs. And so I would say a third of that $8 million, in the quarter is more permanent with these higher weight loss drug costs, and two-thirds was hopefully one-time related to some extraordinary expense. So that was the biggest challenge that we saw in the quarter.
David L. Begleiter: Very helpful. Thank you. And just on pricing, not the critical here, but could you raise prices earlier to account for the tariff cost increases? Are you satisfied with timing these price increases? Thank you.
Frank C. Sullivan: It would have been nice to raise prices earlier. The challenge with this tariff regime is it's on again off again. And so we had reached agreement for instance, in consumer with some of our larger accounts on price increases. If and when the tariff impacts occurred. And so, sorting through the impact of tariffs is a challenge for everybody. As we sit here today, and it's subject to change from one week to the next, the total unmitigated impact of tariffs on RPM is about $90 million or $95 million. We have effectively offset about half of that both through production shifts and pricing. And agreements with suppliers, for instance, that might share costs. Our biggest tariff-related impact remains in our consumer group. It's disproportionately in packaging and frustratingly, in metal packaging where it's really not the tariff impact directly. It's the domestic steel producers that have raised their price in line with the tariff regimen. So those are the big challenges. Price in the quarter was about $0.05 on a consolidated basis. It should be somewhat higher in Q2. But inflation is likely to be higher in Q2 because we'll start to see the full impact of the tariff regime in Q2 versus where we were in Q4, Q1.
David L. Begleiter: That's great. Thank you very much.
Frank C. Sullivan: Thank you.
Operator: The next question comes from Patrick David Cunningham with Citi. Please go ahead.
Patrick David Cunningham: Good morning. Hi, good morning. Thanks. Good morning. I think you guys have had a pretty strong focus on pulling some working capital out of this business, but you noted some offsets this quarter from strategic inventories purchases. What did you stock up on and why?
Frank C. Sullivan: So we've stocked up on some of our construction products and in particular, Tremco sealant products as we make the transition from what was previously the largest sealants plant in North America and Toronto to three other plants in the U.S. We have stocked up in the consumer space in some areas of new products. And in some raw material categories, and this has been true both to our benefit and to our detriment. We stocked up on some key raw materials like epoxy in front of some tariff pricing increases.
Patrick David Cunningham: Understood. And then maybe just related on the price increases, how should we think about the shape of realization consumer? And is there more sort of regular structural price that you're getting across the other two businesses at this point?
Frank C. Sullivan: So again, in the quarter was less than 1%. And in Q2, we would expect it to be in the 2% range. We're getting price finally in some of our consumer groups, again, are appropriately related to packaging costs, which continue to increase. And we will monitor it as this tariff regime continues to be modified.
Patrick David Cunningham: Very helpful. Thank you so much.
Frank C. Sullivan: Thank you.
Operator: The next question comes from Joshua David Spector with UBS. Please go ahead.
Joshua David Spector: Morning, Josh. Good morning. This is Lucas Bowman on for Josh. So I guess just kinda coming in the view was that RPM had sort of already scaled up from a cost perspective. So that as you kinda could get to much higher sales that would drive high incremental margin uplift on those with, like, less cost growth on the SG&A side. So I'm just wondering if you kinda think that view is sort of incorrect or just sort of where are the cost investments going now that's different? And then how should we think about the volume leverage sort of coming through as we move forward from here? Thanks.
Frank C. Sullivan: Sure. So first of all, historically, that's not correct. During the MAP initiatives, we were able to reduce our SG&A on a consolidated basis over the cycle probably by 150 basis points. It was actually lower than that during COVID, but it was unsustainably low relative to no travel, and, you know, a lot of cut-back expenses during that time. So it's back up some, but improved from where it was when we started the MAP initiative. Had commented about $15 million of personnel-related, expense reductions across three different areas. Part of it was the consolidation of our Specialty Products Group into the Performance Coatings Group. And then also in consumer, we have reallocated probably half of that into sales and marketing. And so as Rusty mentioned, we have a very deliberate focus on private, trying to drive efficiencies continuing the efficiency drives from our MAP initiatives particularly in G&A, as we have shrunk the number of ERPs and shrunk the number of places where we close the books from an accounting perspective every month. We have offshored some of those expenses to a shared service center in India. But we are not putting all of those dollars on our bottom line. We are reallocating those to more salespeople, more advertising, really trying to drive best practices in e-commerce across our businesses. We tend to have our strongest teams in consumer and we need to drive those disciplines into our industrial businesses. So there is a real pivot to growth here, which is challenging our businesses in an area of capital allocation. This is not high-level balance sheet capital allocation. This is how are you spending your dollars in SG&A to drive growth?
Joshua David Spector: Right. Thanks. And then I guess just on the raw material side, I guess, what's your sort of updated outlook there? For inflation over the balance of the year? And between that, and, I guess, the investment in the higher costs on the SG&A side, if you could kinda just put it all together for us and tell us how you're thinking about net gross costs as the year progresses? Thanks.
Russell L. Gordon: Sure. For the quarter, material inflation was about 1% on a consolidated basis. We anticipate it being up to about 2% to 3% in Q2. And it's disproportionately in consumer.
Joshua David Spector: Thank you.
Operator: The next question comes from John Roberts with Mizuho. Please go ahead.
John Roberts: Thanks, John. Good morning. Will there be a public new three-year plan? And should we think about an aggregate it being similar earnings impact to the MAP two point zero plan?
Frank C. Sullivan: So the answer to that is yes. We will probably be coming out with something public in the spring or summer of next year. As you know, we reorganized from four group structure to three groups. We announced that in July. We have some leadership changes that'll be forthcoming in the next couple of months. So in conjunction with those changes and quite candidly, to wait out what's been a crazy environment of uncertainty around these tariff regimes. And the certainty around, where broadly things are going, difficult. We'll be in a better position to put out publicly a new three-year plan next year. We are working internally on what we call MAP three point o. But it's not ready for public primetime yet.
John Roberts: Okay. And I think you had a consumer initiative to enter the dollar stores and supermarkets. How's that going?
Frank C. Sullivan: Yeah. No. It's going well. And like Frank talked about, there's a real push to go into these adjacent categories and go into stores where we historically have not had a big presence. With dollar stores, there's such a large footprint. So some of our companies have actually modified the packaging of their products so that they can get into those stores. So we're seeing nice traction there.
Russell L. Gordon: So DAP, in particular, has come out with some smaller size caulk sealant adhesive and repair products. Have a really nice program there. And we're also seeing with the pink stuff, opportunities to have discussions with retailers for instance, in grocery and or big drugstore chains, that traditionally, we didn't have much of a relationship with.
John Roberts: Thank you.
Operator: The next question comes from Frank Joseph Mitsch with Fermium Research. Please go ahead.
Frank Joseph Mitsch: Good morning, Hey, good morning, Frank to you as well. Just want to come back to DIY. Suggesting that the softness and it's been an extended two-year plus period of softness there. And you're spending some money on advertising. What are your thoughts on a, you know, at least a flattening out or a rebound to take place in terms of DIY takeaway?
Frank C. Sullivan: I appreciate the question. This pivot to growth is in anticipation of what we feel like will be some improved financial numbers as we get into the spring and summer of next year. If for no other reason, then we are annualizing two years of negative consumer takeaway in this space. And so you're getting, down to, levels whether it's in architectural paint, which we don't play in, or some of the spaces that we do that are unit volumes that are pre-COVID. And that some smart new products, and I think some improvement in the housing market, will happen with further interest rate cuts. Remember, housing turnover is a big driver for our consumer group. Typically people fix up their homes before they sell it. And then the new buyer turns around and redecorates it. We are in a forty-year low for housing turnover. And so both the easier comps and an improving interest rate environment, we anticipate will finally result in better dynamics in the spring and summer of next year, and we are doing what we can to lean into it.
Frank Joseph Mitsch: Very helpful. And, and just speaking more near term, you know, we've got the month of September under our belt. How would you compare the typical August to some September, this year relative to what you've typically seen historically?
Frank C. Sullivan: For the company, relative to growth, sure. In the pivot to growth, we are accomplishing what we set out to do. And the numbers are really solid. And, except for the extraordinary healthcare expense, I would expect our second quarter to look like our first quarter.
Frank Joseph Mitsch: Terrific. Thank you so much.
Operator: The next question comes from Kevin William McCarthy with Vertical Research Partners. Please go ahead.
Kevin William McCarthy: Good morning, Kevin. Yes. Good morning, everyone. Frank, would you elaborate on the expansion of your sales force? From my side, a few of the things I'm curious about is where in the company you're adding if it's concentrated in any particular businesses, how many people do you plan to add? Is the $5.3 million pace of expense that you alluded to likely to be steady or increase or decrease? And finally, you know, I imagine on day one, it's not profitable, right, to add a sales but over time, productivity increases and they cross through and become profitable. What is that amount of time? Do you have a rule of thumb there to think about? Appreciate it.
Frank C. Sullivan: Sure. I appreciate the question. So as an example, our Tremco roofing business, we have new hires in their sales training program. They are essentially apprentices for year one. They work under the tutelage of an experienced rep in year two. And in year three, they're on their own. By year five, we have about a 30% turnover. And so that's the dynamic there. So we're expanding those training classes. So that's a payoff that will come, but that's been going on for the last couple of years. And so you're starting to see some benefits there. In both our Stoneheart businesses and in Tremco roofing. We are starting to add. That's why I made it clear. It's not just salespeople, but sales support staff. We are adding support staff to better manage the contracts that we're taking where we apply or where we have the supply and apply model. And, you know, some of our sales reps were being tied up with the dynamics of overseeing projects. And to the extent that we've been adding experienced people in project management, it frees up our good sales reps to go out and sell more. And so those are examples of the areas where we've been adding people. Lastly, the effort starting under Ronnie Coleman's leadership, Johnny Green, who runs our ICG, the Industrial Coatings Group was pulled together of a bunch of different relatively independent RPM businesses that did industrial or OEM metal coatings. And, wood finishes or wood repair products or wood preservative products. And under the ICG, they have been pulled together and are cooperating and in some cases being coordinated more as a unit. So we can go to large accounts and deliver powder and liquid coatings in a more thoughtful, straightforward approach as opposed to having different approaches from different operating companies. So it's really been the integration of the sales approach in the ICG that's helping us. And it's well designed, it's being well executed, and you can see it in our numbers.
Kevin William McCarthy: Appreciate all the color there. And as a follow-up, if we take into account these new investments as well as the other ones, that you alluded to on the call, how would you characterize the likely increase in total company SG&A expense this year?
Frank C. Sullivan: Well, I don't the $10 million that I referred to in terms of higher advertising, higher selling, and higher M&A costs. Probably extend quarter by quarter. The healthcare costs and the we'll see. And we need to get to the point where we can leverage this big investment into higher sales growth. Quite honestly, with a few exceptions, we're accomplishing what we need to do on the top line and bottom line. Our Performance Coatings Group and Construction Products Group, and you'll see that. We need consumer after two challenging two years to start generating positive organic growth in the top line and bottom line. It's not unique to us, I think we're outperforming the dynamics in the marketplace. But nobody, you know, nobody here is happy with another quarter of negative organic growth in consumer.
Kevin William McCarthy: Thank you very much.
Operator: The next question comes from Jeffrey John Zekauskas with JPMorgan. Please go ahead.
Jeffrey John Zekauskas: Good morning, Jeff. Hi, good morning. Can you talk about how the pink stuff did on a pro forma basis? And is your roofing business is demand for roofing accelerating or decelerating in the current environment?
Frank C. Sullivan: So I'll let Matt address the pink stuff question, but on the roofing business, we're seeing high revenue growth in roofing. Again, some of it's ancillary product areas like Pureira, which is the refurbishment of big HVAC units. The disruption and costs of getting cranes to get big air handling units off of hospitals or high rises in downtown settings are very disruptive, very costly to put in a new unit. And, you know, we acquired this business. We've developed it out over the last two and a half years. And at 25% or 30% of the cost of new can refurbish something that dramatically improves air quality, dramatically improves operating efficiency, and extends a use of useful life anywhere from five to ten years. And we are starting to see those revenues pick up. And so they're reflected in our roofing division.
Matthew E. Schlarb: That's just one example. And then with the pink stuff, you know, we've had it for a little over a quarter as part of RPM. And the integration's going as expected. We mentioned that it's been accretive to margins or M&A has been, and certainly the pink stuff is a contributing factor. And like Frank talked about, we're taking the advertising that they did and inherited that. And then we're increasing our marketing in that area to grow the sales there. And then also leveraging their presence in these different categories and sales channels where we traditionally haven't been as large. So organizationally, we're doing one more thing, which is in the early stages. We had about a $5,060,000,000 dollar cleaning collection of cleaning products within Rust-Oleum. And within our consumer group now, we have a cleaning group which includes the pink stuff and those previously driven by Rust-Oleum cleaning product categories. Including Mean Green and the new patented two-container packaging that we put out. And so we're taking a more comprehensive approach to cleaning than what we had done in the past. And in terms of growth, it's the right way to go. The broad cleaners category is $12 billion to $15 billion in the United States. It's probably larger than the serviceable addressable market in the U.S. than exists for small project paint and catch repair products, which has been our core for a long time. So we're really excited about it. But we're reorganizing internally to better, be focused on that cleaning category area.
Jeffrey John Zekauskas: And then to go back to SG&A expense, you know, even if your healthcare costs for the quarter increased zero, you know, your SG&A would have been up 10%. So, you know, is it an accumulation of acquisitions, spending, infrastructure? Like, last year, your SG&A expense was basically flat. Why has there been such a jump? And maybe to repeat Kevin's question, like where should that grow to in 2026?
Frank C. Sullivan: So broadly speaking, there are three areas that are driving SG&A higher. One is acquisitions in both the pink stuff and Ready Seal. We have higher gross margins and higher SG&A spend, so different P&L. So that's just a mix effect. And the healthcare costs we talked about and then $10 million in growth investments in the quarter which, I think is in pretty sharp contrast to peers are cutting costs and suspending payments. And we believe it's the right thing to do to trigger organic growth in what's been a very frustrating no-growth environment for most of manufacturing for almost two years. So far, it's working. And we will continue to push those levers if it keeps driving, an outperformance organic growth.
Jeffrey John Zekauskas: Thank you.
Frank C. Sullivan: Thank you.
Operator: The next question comes from Aleksey V. Yefremov with KeyBanc Capital Markets. Please go ahead.
Aleksey V. Yefremov: Thanks. Good morning, Just wanted to go back to your sort of growth algorithm. So let's say this year, they're guiding to mid-single-digit sales growth. And then high single-digit EBIT. Should we look at this as a normal year or is this a year where you have these temporary challenges, investments, etcetera, such that in a more normal growth year, you can maybe help? Higher incremental margins and your EBIT would grow more than high single digit. Sure.
Frank C. Sullivan: So I do not think of this as a normal year. I talked about the uncertainty of the tariff regime and what it's done to the costs and raw materials. And its stall broadly on big capital investment decisions of our customer base. And you know, the inflation element, it's still in the SG&A areas. You're looking at underlying inflation of compensation in the 2.5% to 3% range. So it's challenging. In a normal environment, and I'm not sure when we'll see that, 7% revenue growth should be spitting out mid-teens earnings growth. And so is the lack of leverage to the bottom line somewhat disappointing? Yes. But I think time will tell. Some of our peers are gonna be putting up flat or no growth, and you're gonna see flat or declining EBIT margins. When the worm turns, we want to be in a position to outperform and it's not just strategic thinking today. I can tell you in some of our industrial businesses going back to the early two thousands, we overcooked expense cuts coming out of the February, 2001, recession. And took twelve or eighteen months to catch up when the markets turned positive. And we want to be in a better position today, and that's how we're thinking. Obviously, if we wake up in 2026 and the world is a worse place than it is today, we can take appropriate action if necessary.
Aleksey V. Yefremov: Thanks, Frank. And then in consumer, are you still intending to raise prices to sort of reflect current raw materials environment or are you fully caught up after when you?
Frank C. Sullivan: We have a level of price increases that we're in planning to do in Q2, which will benefit Q2 in consumer. At the end of Q1.
Aleksey V. Yefremov: Okay. Thanks.
Operator: Our next question comes from Arun Shankar Viswanathan with RBC Capital Markets. Please go ahead.
Arun Shankar Viswanathan: Good morning, Arun.
Arun Shankar Viswanathan: Good morning, Frank. Thanks for taking my question. Hope you're well. So I guess two questions for me. So first off, I think you mentioned a $90 million to $95 million unmitigated impact from tariffs. Could you just walk through that? Is that, maybe 10% or 20% of your raw materials bucket that you source elsewhere that's, say, up 30 to 50% or something, and that's how you calculate that. And then the actions you've taken, are you resourcing from other locations? Is that correct on the tariff question?
Frank C. Sullivan: So, Sree, I don't know. Top of my head. Somebody will have to do the math, for me in terms of the percent. But I can tell you that the three areas that we've had success in mitigating, in some cases, with certain suppliers we have, you know, we have worked to understand the true cost. And then we have agreed to split it. And so essentially sharing the pain. In certain cases, we have passed on price, to our customers. And in other cases, we have shifted production. So an example of production shift, most of the pink stuff paste, which is their iconic cleaning product that they really were founded with, was produced in the UK. We have taken action to shift production of that to one of our US consumer plants to serve the consumer market. Unrelated but helping us is the shift, from Toronto, the Tremco sealant plant into the U.S. Although some of the USMCA is helping us between business in Canada and the U.S. and Mexico. Again, it's complicated to figure out how that works. And then we have not fully offset all of the tariff impacts as I indicated. About half of it has been mitigated, and we are working on the other half.
Arun Shankar Viswanathan: Okay. Thanks for that. And then just on the M&A front, I think you may have noted that fiscal 2025 was one of your most active years, not the most active year on that front. So I guess what are you seeing there? What your kind of appetite to take leverage higher, for the right property? And, would that be mostly in, PCG and CPG, or where are you finding or maybe consumer in cleaning? Or where are you finding opportunities? Thanks.
Frank C. Sullivan: So we've spent $600 million in the last five months in solving a consumer between Ready Seal and Pink Stuff. And, again, it's been a thoughtful approach to saying, alright. Where are new categories where we can drive new growth? We have done a number of smaller product lines in our Construction Products Group. They've been very strategic as it relates to the building envelope and looking at different product categories that they would like to be in that they're not. So we have grown our market share in expansion joints for heavy industry and or commercial. We've expanded market share in certain fireproofing and fire stopping product lines. And they've been small acquisitions, but the opportunity to take a $5 million product line and turn it into a 15 or $20 million product line with our distribution and our sales force is pretty exciting for us. I will tell you that one of the benefits of the MAP to Growth initiative that I hope people appreciate. For a long time, we operated, I'm talking twenty plus years, with a debt to EBITDA ratio of 2.5% to 3%. And because of the stability of RPM, still maintained an investment-grade rating. We just completed $600 million of debt-funded acquisitions. And our debt is about 1.8%. And so the benefits of the MAP initiative in terms of cash flow and profitability improvement. I'm sorry, 1.8 times, not 1.8%. And so the benefits of the MAP initiatives are really part of our cash flow and our credit metrics as well. And so we got plenty of dry powder to do acquisitions. The last comment I'll make is PE seems to be not as active. They seem to be more on the sell side and the trying to raise new fund side as opposed to being as aggressive in the acquisition market. So we're seeing deal flow at two or three multiple turns below where it was at the peak.
Arun Shankar Viswanathan: Thanks.
Operator: This concludes our question and answer session. I would like to turn the conference back over to RPM's Chairman and CEO, Frank C. Sullivan, for any closing remarks.
Frank C. Sullivan: Thank you. I want to conclude with a comment about what's happening societally today and in relationship to my reference to 401(k)s. To a certain extent, there is a battle for the soul of what drives the economy in the US. With a younger generation that starts to think maybe socialism is better than capitalism. And that could not be further from the truth. In fact, the American form of capitalism over the last two hundred years has brought more people out of poverty in our country and the world, has generated more wealth across generations, across ethnic groups, gender, you name it. And has done more to spur innovation in technology, medicine, entertainment, despite all its flaws in any other system. I mentioned that because business has to be smart. When companies defer benefit payments that are long-term investments in the stability and security of our associates' retirement. To meet near-term earnings per share pressure that we all have, you're feeding that narrative. Private equity right now is working to open up $2 trillion worth of 401(k) assets. To an asset class that because of its past success and its growth has average returns now that are not much better than what the broader market provides, but with a dramatically higher fee structure, and a liquidity neither of which will work well in retirement plans like 401(k)s. And so I say that because the CEOs that matter, the Brian Moynihans, Jamie Dimons, Jeff Bezos, Mark Zuckerberg, Doug McMillan, need to be pounding the table in support of American capitalism. The alternative will not be good for anybody. And need to provide examples of how American capitalism can create value for everybody and we have to not feed the narrative out there that socialism might be a better model. And I appreciate the opportunity to provide that perspective. Our second quarter will look much like our first quarter. Couldn't be more proud of the RPM associates that have effectively executed on a pivot to growth in a continuing no-growth environment. We appreciate your time on the call today. And look forward to welcoming any and all of you to the RPM Annual Meeting of Stockholders tomorrow at 11:30 Eastern time. Thank you, and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.